Operator: Good day, ladies and gentlemen. We wish you all a very happy New Year. Welcome to the Wipro Limited Q3 FY 2022 Quarterly Earnings Conference Call. As a reminder, all participant lines will be in the listen-only mode and there will be an opportunity for you to ask questions after the presentation concludes. [Operator Instructions] Please note that this conference is being recorded. I now hand the conference over to Ms. Aparna Iyer, Vice President and Corporate Treasurer. Thank you and over to you.
Aparna Iyer: Thank you, Stanford. Wish you all a terrific 2022 and a very warm welcome to our Q3 earnings call. We will begin the call with business highlights and overview by Thierry Delaporte, our CEO and Managing Director; followed by financial overview by our CFO, Jatin Dalal. Afterwards, the operator will open the bridge for Q&A with our management team. Before Thierry starts, let me draw your attention to the fact that during this call we may make certain forward-looking statements within the meaning of the Private Securities Litigation Reforms Act 1995. These statements are based on management’s current expectations and are associated with uncertainties and risks, which may cause the actual results to differ materially from those expected. The uncertainty and risk factors are explained in our detailed filings with SEC. Wipro does not undertake any obligation to update the forward-looking statements to reflect events and circumstances after the date of filing. The conference call will be archived and a transcript will be made available on our website. Over to you, Thierry.
Thierry Delaporte: Aparna, thank you very much. Good evening, everyone. Thank you for joining us today. First, I’d like to really wish you all a Happy New Year. At Wipro, we are starting this year with hope and a lot of momentum and purpose, and we would like to wish health and success to every one of our friends in the analyst and investor community. Across the globe, the new variants of the COVID-19 virus are spreading rapidly. This wasn’t unexpected. But it’s a damper now, nonetheless. As I say to all our colleagues at Wipro, mask up, take your vaccines and let’s help stop the spread of this virus. Now, despite the pandemic, we have delivered a fifth consecutive quarter of excellent performance. Strong growth in revenues, acceleration in bookings, sustained operating margin and solid operating cash flow. I want to thank every one of our employees who helped us achieve this. These results reflect the passion, the dedication and inventiveness. And I must say I was really glad to see that our colleagues have taken the time to attend to their health and well-being while continuing to serve our clients with integrity and will. Looking at our financials, our revenue growth during the quarter was at 3% in constant currency terms and 27.5% year-on-year. In the first nine months of this year, we have grown at 28% year-on-year. This is nearly six times faster than the average growth rate we have had in the last 10 years. We have been consistently growing up for over 3% for five quarters now, and frankly, this is because of our improved execution abilities and followed through on our business strategy that was established in November 2020. Our growth continues to be broad based across all our key markets, service offerings and most of our sectors. We have added about 34,000 new employees on a net basis in the past nine months. To give you a sense of proportion and base, we actually have added in three quarters what took us 11 quarters in the past. Now, looking forward, the demand environment continues to be robust. Our growth rate, our pipeline and our order bookings all reflect that. Our pipeline in fact shows a healthy mix of medium and large deals across all our business lines. We also continue to see rapid expansion in small and midsized deals, which really represents growth in our existing accounts, as well as expansion of our market portfolios. Order books, which is, frankly, the best measure of the demand environment has grown 27% on a year-to-date basis in terms of annual contract value. In fact, our bookings have been the highest ever, and in Q3 we saw a 50% year-on-year increase in the total contract value order booking for deals in the $10 million to $30 million range. What I think stands out is that our win rate the market has improved dramatically. For this year, our win rate has expanded 300 basis points. This is clearly a reflection of our strategy, the cultural shift we have been pushing, as well as the services we are now being recognized for and I feel it’s also a reflection of our impact on our client’s business. As expected, we are seeing the benefit of consulting -- of Capco’s consulting edge in our large new pipeline. We are now winning in cloud transformation in engineering services, data, digital transformation and security. Our clients are continuing to place their trust in us who have them turn into digital businesses. On the M&A front, we have continued to pursue aggressively on our strategy tips. We announced two completion of two acquisitions, the completion of two acquisitions in Q3. The first one is Edgile, transformational cyber security consulting provider that focuses on risks and compliance on information and cloud security and digital identity. Edgile is definitely recognized by security and risk leaders for its very unique business line cyber security capability for their deep understanding of the changing the regulatory environment and enabling cloud transformation that helps secure the modem enterprise. The second acquisition that we completed was LeanSwift Solutions, a U.S. headquartered system integrator of Infor products, whose service capabilities include ERP, e-commerce, digital transformation, supply chain, warehouse management system, business intelligence, and of course, integrations. This acquisition will expand the capabilities of Wipro’s FullStride Cloud Services. So we are very excited about these acquisitions and we welcome so many new colleagues from Edgile and LeanSwift into Wipro itself. On operating margins at 17.6% in Q3, we are ahead of our stated range of 17%, 17.5%. These margins were delivered after an incremental two-month impact of salary increases in September, that covered 80% of our colleagues globally and an equity grant for our senior colleagues, and we will continue frankly to invest heavily in our business across self-transformation, capabilities and talent. I will now provide some final details on market, on service offerings and sectors, right, as always. Americas and Europe, our top two markets grew at 28% and 38%, respectively, for the quarter in year-on-year terms. In Americas 1, we grew 23% year-on-year and 5.2%, sequentially, with all sectors showing strong growth; communication, media, information services grew 30%; consumer goods and life science grew 25%; healthcare and medical devices grew 16% year-on-year. Now, looking at Americas 2, we grew 33% year-on-year with a strong growth across BFSI and manufacturing. The order book in terms of annual contract value grew over 47% year-on-year. The increase was led by good overall bookings in the bucket of $10 million to $30 million. Our European business has delivered an outstanding year-on-year growth of 38%. Germany, the largest market in Europe has almost doubled, Benelux grew 24% and our U.K. business grew 40% year-on-year. The momentum on Benelux [ph] had accelerated this quarter and our pipeline has several large deals above the $100 million range. We are frankly confident about how they are shaping up as well. I am sure you know where we were with our European business a year ago, so it’s a great turnaround story here. Finally, our APMEA market grew at 13% year-on-year. All our major markets are growing sequentially. Of all the other booking in TCB terms are looking healthy, with 37% year-on-year growth, excluding acquisitions, of course. And in my mind, this should definitely support the growth agenda in this market in the coming quarters. But one of our key pillars of our strategy is to grow our existing large account and deepen the relationship. So let’s look at that. Our top five customers grew 36% year-on-year. Our top 10 customers grew 37% year-on-year. In the last 12 months, we have added seven customers in the more than $100 million bracket and nine new customers in the more than $50 million bracket. This is I believe a significant shift, one that we believe will continue. From a service offering standpoint, we have two big global business lines. Our iDEAS global business line grew 37% year-on-year. Most of the sub-practices showed a healthy growth. Our engineering business grew more than 26% year-on-year in Q3 and grew at a compounded quarterly growth rate of over 6% in the last four quarters. Our iCORE global business line grew by 17% year-on-year. Again, most sub-practices grew in double digits on a year-on-year basis too. Our digital operations and platform led the growth with 18%. We also continue to invest in and strengthen our partnership with hyperscalers and industry-leading platform players. We in fact expanded our go-to-market approach with cloud and with application partners now, resulting in us driving leading edge solutions in the market. Wipro is therefore more visible in the market because of this. We are driving proactive solution development and campaigns with our partners on both horizontal and vertical solutions. All of this resulting in an increasing number of multi-partner wins. Our order bookings that were a result of going to market together with our partners grew 40% year-on-year. This is the highest ever. Our cloud ecosystem revenues also grew and grew at an accelerated pace of 30% on the year-to-date basis. Now, let me give you a sense of the kind of deals we are winning. One, we won a strategic service now implementation engagement from a large Brazil based oil and gas company to transform their IT processes, increase their GDP and quality of services to business areas. Leveraging Wipro FullStride Cloud Services, this is a significant service now implementation in the Latin American market. Second, the U.S. headquartered financial services institution has awarded us a contract to transform the core banking functionality of their retailer portfolio. Wipro here will leverage its domain and technology transformation capabilities to bring in design thinking methodologies, improve agility, and obviously, increase business value for the client. So, more examples worth sharing, but I’d like to now focus on our biggest success factor, talent. Our focus on building world-class talents remains more than ever. We have worked very hard to ensure that skill is never a constraint for growth. Well, of course, our -- we are on course to onboard about 70% more fresh talent from the campus in FY 2022 versus the previous year. I will not surprise you if I say that that the attrition is reality across almost most industries. It’s been no different for us. I had shared with you last quarter that we expect attrition to slowdown only after a few more quarters. However, we now feel more confident of having stabilized our attrition rate in Q3 and expected to moderate next quarter. When we embarked on our transformation in 2020, we had committed to creating a vibrant diverse and more local leadership team. We have made progress on every count. Our leadership has moved closer to clients. The presence of senior leadership in locations outside India has improved by 13 percentage points. It’s also relevant to note that nearly 50% of our leadership hires have been in the growth office and the customer-facing global account executive roles, which are strengthening our frontline and so. Over the last 18 months, we have improved ethnic diversity in our senior leadership by 20 percentage points and gender diversity in the leadership has nearly doubled. Without a doubt, we have more work to do here, but I am pretty proud of the change we are seeing in Wipro thus far. Now, we are committed to being a company that respect diversity, works at all kinds of inclusion and is a beacon for change within our industry, it’s very clear. On -- and even more current and urgent topic, I’d like to reaffirm that the health and safety of all our employees remain our topmost priority. With the rapidly spreading Omicron variant of the COVID-19 virus, we remain very vigilant. As a proactive measure, we have decided to close our offices globally for the next four weeks. It’s our strong belief to work at 90% of our employees globally are now vaccinated with one dose of the vaccine and over 65% are fully vaccinated with the recommended two doses. Our plans to return to office even in a hybrid model for our fully vaccinated employees will be calibrated in the context of the evolving situation, keeping both our employees safety and client preferences in mind. That said, of course, we are continuing to service our clients with dedication and agility as always. Same with topics of great urgency, our sustainability efforts have continued with great momentum. You may know Wipro has been included in the Dow Jones Sustainability Index again for the 12th time in a row, a testament to our consistent ongoing efforts in this area. Climate change and our ecological and carbon footprint is something we take very, very seriously. Finally, on to our outlook for the next quarter, we have guided for revenue growth of 2% to 4%, which will translate into a full year growth of 27% to 28%. To summarize, demand environment continues to be robust and our growth path over the last two quarters reflects this. We will stay on course with the strategic priorities I had shared with you in November and I am confident of sustaining the growth momentum we have so far displayed, right? On that note, let me welcome Jatin for his comments on the financials. Jatin, over to you.
Jatin Dalal: Thank you very much, Thierry, and thank you all for joining our earnings call. I will quickly summarize the financial details. As you know, we have grown 28.5% on a year-on-year basis on the rupee revenue -- in rupee terms. Our margins have remained constant or stable between quarter two and quarter three in a narrow range. Our effective tax rate or ETR has actually improved from 22% to 21.3% in quarter three. Overall, our earning per share has grown at 4.2% on a year-on-year basis. We have had a strong performance in cash collection, as well as a strong performance in billing, and as a result, both our unbilled revenue as percentage of revenues have improved and our DSO days have also improved. Our operating cash flows were 101% of our net income. At the end of quarter three, we had $4.6 billion of growth cash and $2.8 billion of net cash. We had $3.4 billion of ForEx hedges as of 31st December and we realized an exchange rate of INR76.12 for quarter three. The Board of Directors has recommended an interim dividend of INR1 per share, as you would have read in the press -- in our press release and our guidance for quarter four is 2% to 4% in the constant currency at the exchange rates which are mentioned in the press release. We will be very happy to take your questions. Thank you.
Operator: Thank you very much, sir. [Operator Instructions] We take our first question from the line of Moshe Katri from Wedbush Securities. Please go ahead. Moshe Katri, your line is unmuted, please unmute the line from your side and proceed. Moshe Katri from Wedbush Securities, your line is unmated, please unmute from your side and proceed with your question. As there’s no response, we move to the next question from the line of Sandeep Shah from Equirus Securities. Please go ahead.
Sandeep Shah: Yeah. Thanks for the opportunity. Just a question in terms of last two quarters, we have actually exceeded the upper end of the guidance and I do agree that’s a high base. By this quarter, we are at the midpoint of the guidance as a whole. So is it fair to say, is it a high growth, is it some deceleration in a smaller tenure, faster conversion, deal rates, deal wins are a bit decelerating as a whole, which is impacting the growth and even if I look at the current quarter guidance, on organic basis it looks like 1.3% to 3.3% as a whole, so.
Thierry Delaporte: No. Sandeep, this is Thierry. Hi. So I really do not see any deceleration of our growth. I think what we have done for the last few quarters is, we have guided between 2% and 4%, and we have been consistent in guiding that. Sometimes you go a little up, you go a little down, but there’s no real trend that would go down by any mean. We haven’t lost clients. We haven’t terminated abruptly any deal or so on. We continue to grow. We have done fabulously in bookings, frankly, with the best performance ever and that gives us the confidence that we can continue to guide on 2% to 4% for the next quarter. Keep in mind also, because obviously, we are tracking performance on a quarterly basis. This is 28% growth over last year. So imagine the company, the transformation of the company in four quarters. If you go back five quarters, we actually have added a third of the Wipro revenue of that time in the -- to the overall base. So the company has increased by 30 -- by a third in five quarters. And I think it is the kind of growth that we have had and we continue to see the same trend going forward, frankly.
Sandeep Shah: Yeah. This is helpful. And we also acknowledge that the growth journey of Wipro has really turned around. Just a question further to that, in this era, when Wipro has successfully turned around the organic growth, why are we depending on too much on inorganic growth as a whole? So, because in one of your media interviews, Thierry, you also mentioned that, you may be open for another large sized acquisitions and in terms of smaller acquisition, you keep doing as a whole. Why not focus in terms of improving the margins, improving the return ratios, when the time has come where organic growth is easy to come rather than too difficult with efforts which are already being taken by you in terms of turning around the organic growth?
Thierry Delaporte: That’s actually…
Sandeep Shah: Yeah.
Thierry Delaporte: Yeah. Sandeep, it’s two different things. We are not mixing our organic growth strategy with the inorganic strategy. Those are two different tracks. And it will never be seen as a way to compensate for organic growth. The focus on the market on the business is to drive organic growth and every of our business units are driving growth and focusing on that. The M&A strategy is to help us accelerate and gain and accelerate in speed to make jump in some strategic areas. When we do an acquisition like Edgile, okay. Edgile brings expertise -- consulting expertise in cybersecurity area. We have a strong cybersecurity practice. We have a good business that is growing very well, led by a very strong leader, Tony Buffomante. We feel that by adding this consulting business, it will allow us to have and be able to have a bigger impact in this market. And so that’s really how we are seeing M&A. It’s strategic, it’s to reinforce and bring expertise we don’t have and compress time, but it is not to compensate for organic growth.
Sandeep Shah: Yeah. Thanks. And just a last question to, Jatin, in terms of margins, I think even in this quarter, if we look at EBITDA margin, the decline has been 45 bps, 50 bps versus last quarter being close to 70 bps. So the question is in terms of the margin outlook, are we continuing the band of 17%, 17.5%, which may continue over the next four quarters or six quarters, which we call out as a medium-term or we believe now there could be tailwinds because of growth, as well as pressure additions which you may doing demand and has upside potential rather than a downside potential?
Jatin Dalal: So, Sandeep, Jatin here. We have maintained that we will -- there could be quarterly variation, but this is the range that we think margins are sustainable for our business and there is no change to it. This year is going to be, like previous two years, is going to be a year of its own pattern and pressure points and excitement and we should remain pragmatic and dynamic with the changing scenarios on the ground. So there is no change. Fundamentally, we will always say that the first priority for us is growth and alongside very clearly is talent. And as we work through these two, we also try and maintain the margin in the band that we have spoken about. And we have done a decent job around it in the current quarter, despite two months impact of wages and that we have invested a little bit in additional flexibility and utilization. As you can see, it’s about 2.5% change from previous quarter, which gives us some additional headroom for growth in quarter four and beyond. Despite these two sort of investments on the cost side, we have been able to remain in a narrow range on operating margins. So I would say the -- it’s going to be a year, a dynamic year, we will need to manage every quarter as it comes, but our midterm sort of range remains.
Sandeep Shah: Okay. Thanks and all the best.
Operator: Thank you. The next question is from the line of Vibhor Singhal from Phillip Capital. Please go ahead.
Vibhor Singhal: Yeah. Hi. Good evening, sir. Thanks for taking my question. So really my question was on the deal flow and the overall demand environment that we are seeing. We are hearing a lot of news and I think the anecdotal evidence also suggests that the last deals that we have seen in the last calendar years, increased by 2020 impact. There have been very few and far between those kind of deals in the last six months to nine months. And what we are hearing is that, clients are breaking those deals into smaller sized deals with smaller sized tenure as well. So are we also seeing similar kind of a pattern in the deal flow and how does that impact our ability, I mean, is there more competition, more difficult to win those deals, how does that basically impact our overall strategy to grow over the next couple of years? And after that I have a follow up question. Thanks.
Thierry Delaporte: Okay. Okay. So I will take that one on the overall structure of the large deal. So, what, one is obviously, the clients are -- in every industry clients at the moment are driving very actively execution of large transformation program, okay? So it’s not -- they are not in the design phase, they are not in building roadmaps, they are getting it done. So they are progressing and they want to see the results. And so it’s not uncommon indeed that, client feel that rather than going for lengthy legal negotiations or building a three years roadmap or five years roadmap, let’s go ahead with six months, 12 months and see how things are going and we will adjust along the line. And so, often times we see clients indeed having a large transformation program in mind, but willing to contractualized through chunks as opposed to having a big one. It doesn’t mean it’s not going to happen. It’s -- we are observing that at times, they like to be pragmatic and go with a Phase 1 -- phased approach as opposed to a big bang. That’s all fine for us. It doesn’t really change as long as we are able to structure the way we are developing and driving our solution the same way. But it’s okay. Frankly, at the end of the day, if you sign five times $100 million deal with the client or a $500 million deal with this client, it’s about the same.
Vibhor Singhal: Got it. So in terms of affordable, do you believe -- you don’t believe that maybe chasing smaller but more number of deals would be, let’s say, a higher, let’s say, a pressure on us is the marketing cost and it would be probably more difficult to compete with the smaller companies, which probably aren’t present there in large deals anyhow?
Thierry Delaporte: No. I don’t think so, frankly. I believe that, when we are going for a deal over a five years or seven years, it just gives you a little bit more perspective and a little bit of time to really define the way you are going to project your investments. But frankly speaking, our clients are very mature and they know that well as well. And so when we are building and structuring the Phase 1 or Phase 2 of a larger transformation program, we are able to structure it in a way that it’s in the context of a bigger and larger plan. So at the end of the day, I think, it’s not dramatically changing the way we work. And from a sales standpoint, I think, it has its ups and downs. It has its upside and downside. If you sign one deal for five years then you maybe do not have to come back to the negotiation table a year later. But when you do it regularly, you are able to adjust to the needs that are possibly changing over time a little bit also. So it drives a more flexibility that can play for the client like for the partner. So, I think, I am not too concerned at all about that. I tend to look at those deals whether they are sold in ones or in chunks as big deals and I am expecting our teams to work on it with the same mindset.
Vibhor Singhal: Got it. Got it. Thanks for answering that question in detail. Jatin, just one quick question. You mentioned we have around $4.6 billion of cash on our balance sheet, any basically outlook on -- basically announcing shareholder return either by buybacks or increase in dividend in future per se?
Jatin Dalal: Sure. So, we have articulated that over a block of years we will continue to for sure return 50% of our net income to the shareholders. You know that over the last two years we have returned even higher amount. For the current quarter, the Board of Directors have gone ahead with recommendation of dividend one per share and I spoke about it. Our approach to any other action or decision on cash distribution is really based on two aspects, the quantum of cash on the balance sheet and second is around the need that we see over next few quarters from our strategic use and investment standpoint. And whenever we feel that we don’t need an additional cash beyond 50% of the net income, we have gone -- we have come to you all with the proposal for buyback. But right now there is no such proposal under active consideration, otherwise you would have heard about that. Right now we have announced the dividend -- interim dividend of INR1 per share.
Vibhor Singhal: Okay. Got it. Thanks a lot guys. Thanks for taking my questions and wish you all the best.
Thierry Delaporte: Thank you.
Operator: Thank you. The next question is from the line of Moshe Katri from Wedbush Securities. Please go ahead.
Moshe Katri: Hey. Thanks for taking my question. Happy New Year and to you Thierry [inaudible]
Thierry Delaporte: Thanks. Thank you, Moshe.
Moshe Katri: A couple of things. First, you mentioned 27% increase in TCV. Is there a way to slice it by new logos versus renewables? That’s number one and obviously this is important, just we wanted the renewable piece to be higher because it will drive growth? And then the other part of my question is focusing more on capital. So maybe you can talk a bit about where are we in terms of integrating Capco, focusing on the cross-selling initiative that’s going to be a big deal? And what happens to growth when it normalizes, i.e., fiscal 2023? You are analyzing -- you are annualizing the contributions from Capco, so is mid-teens kind of a good number to kind of focus on from a big picture perspective, obviously, we are not talking about guidance, but maybe from a long-term perspective? Thanks for the color.
Thierry Delaporte: Sure. Okay. All right. So, Moshe, so, I will ask Stephanie to go on question one around the type of deals we have closed. I will take question two on Capco and question three on margin projection, okay? Stephanie, you want to go ahead…
Stephanie Trautman: Thanks, Thierry.
Thierry Delaporte: … with number one?
Stephanie Trautman: Yeah. Sure. Thank you. So we are really seeing a mix of renewables, but also new logos and also new areas within existing client. So I am energized by the mix of growth that we are seeing. We see a lot of new clients placing their trust in Wipro on major transformation initiatives, and as Thierry described, some of that is in initial smaller chunks and in some cases it’s large transformation deals. So I think it’s a healthy mix of adding new clients, as well as renewing existing business, so clients continue to place their trust in us to continue to transform, but also they are bringing us into new parts of the organization. So that’s what’s driving a lot of our growth in our existing accounts, but also adding new logos.
Moshe Katri: Thank you, Stephanie.
Stephanie Trautman: Thank you, Thierry.
Thierry Delaporte: Moshe, on the -- on to Capco question, what I can say is that, now it’s been what eight months since the acquisition of Capco, and frankly, it’s actually been a wonderful first year. The teams are working well. We have aligned. We have built common governance on the large accounts. We have worked on opportunities of Capco and Wipro, be at a site together. We have really won some very nice deals and we had a nice story of deals shaping up in the previous quarter, this quarter, beginning of this quarter, we really won a very significant transformation deal that typically we would have never one without the other. So I am pleased with really the attention of the Capco team to the market. I am very pleased with the performance of Capco team. I am pleased with the way the leaders are engaging with the larger Wipro organization and sensing. There’s a great, I would say, there’s a warm feeling for the Capco team and the Wipro team. To me it is a success and not one single day I have been adopting about the decision we made and I think it will continue to deliver a result. So, I would say, obviously, it’s difficult to reflect after eight months, you will know, you will want to have more perspective, but frankly, it is very promising, and again, solid performance from Capco every month. Your third point on margins, if I understood well, because at some point in time you -- at least for me your voice broke up. But it’s a question about you want to know where we are going in terms of margin. You mentioned yourself the fact that, we are not guiding yet for fiscal year 2023. What I would say is that, if you look at our margins, we have been pretty consistent over the last six quarters guiding about we guided around 19% and then came Capco. We announced Capco’s impact on margin was between 1.6% and 2%. And we have guided ever since on a narrow band between 17% and 17.5%, and we maintain our focus and our attention to this level of margin. So from that standpoint, Moshe, I would not be expecting anything changing from where we are now.
Moshe Katri: And also in that respect, in fiscal 2023, the annual revenue contributions from Capco annualized. So, growth rate will normalize and the question here is, whether we should use mid-teens growth rate for fiscal 2023 and beyond as the right kind of range because of that…
Thierry Delaporte: Growth rate.
Moshe Katri: …the fact that it’s annualizes. Exactly. Exactly.
Thierry Delaporte: Growth rate, look, again, we have been communicating. We have been guiding on 2% to 4% growth quarter-after-quarter for the last quarters. Obviously, Capco has already normalized. It’s not impacting those numbers anymore. I can tell you that we are maintaining this guidance for Q4. As you know, we are -- we have made as a practice to communicate on the quarter-after-quarter, so you will have to be a little patient. But again read…
Moshe Katri: Yeah.
Thierry Delaporte: …read us, we are saying, we are going for 2% to 4% quarter -- this quarter and we are not seeing major change in the market.
Moshe Katri: Understood.
Thierry Delaporte: And we are performing very well.
Moshe Katri: Thank you very much.
Thierry Delaporte: You are welcome.
Moshe Katri: Thank you. Thank you. Good luck.
Operator: Thank you. The next question is from the line of Diviya Nagarajan from UBS. Please go ahead.
Diviya Nagarajan: Thanks for taking my questions and wish you all a Happy New Year. Thierry, I think, you have kind of answered this question in different parts, but if you try and comment it from a different angle. So if you look at the last three -- the quarter that you just reported, I think, some of your peers have seen pretty strong surprises or it doesn’t shared a seasonally weak quarter. We don’t really see those kind of surprises. So I was just wondering in your -- from Wipro’s perspective, why don’t those surprises come through? Was it a mix issue or is it that you had some ramp-up that are already behind us, how should we think about this, because we have seen at least so far in the earnings season fairly broad-based revenue beat from many of your peers so far?
Thierry Delaporte: Yeah. You know, Diviya, in some ways, I feel that, because, when you are guiding on a certain level, you are giving a bracket, right? It’s between 2% and 4%, and we have been guiding on 2% -- between 2% and 4% for three quarters, four quarters. If you are hitting the top end of the guidance then the next month the market is expecting that you will do the same. The reality is that, when we are managing our business, we are looking at our portfolio and we are looking at the trend and we are trying to guide, really reflecting what we are seeing at the beginning of a quarter. And so, at the end of the day, I cannot be unsatisfied with the fact that when I guide 2% to 4% and I do 3%, I cannot be more accurate.
Diviya Nagarajan: I think I was coming more from the point of view with, I think, with some of the others that surprise seems to have come from demand during the quarter [inaudible]…
Thierry Delaporte: Yeah. Yeah. But demand hasn’t changed…
Diviya Nagarajan: I was wondering if those, anything is a portfolio that kind of inhibited Wipro from taking advantage of such a demand surprise.
Thierry Delaporte: Yeah. Diviya, one thing is clear is that, typically when you sign a mega deal, it -- one quarter -- it’s not incumbent that one quarter or another, you have suddenly a massive growth in your revenue and so if you do not have this mega deal, you do not necessarily have this one shop big bump that maybe some other have, but that we have had in some quarters. So if you look at the difference, let’s say, we have done a strong performance in sales. The difference with, for example, the performance we did exactly a year ago in Q3 of last year, it was a little lower than what we have done this year, but it add a $1 billion deal inside with a METRO. So, actually, it was coming to more or less the same number, a little lower, but as a comparable number on the TCV standpoint. But coming from a large deal, and therefore, the performance outside of this large deal was very different. I think we have turned the engine into a way that we have more recurring type of deals every quarter, so that the mega deal comes on top, right? And what’s consulting is that, if you look at the performance in sales even without mega deals with $2.85 billion of ACV, we have done probably -- we have done 65% more than what we used to do on a given quarter a year ago.
Diviya Nagarajan: Fair enough. Fair enough.
Thierry Delaporte: Yeah.
Diviya Nagarajan: Just a question on the attrition, I think you have to say it again, but do you feel like from here on you are at a point where you are -- you find that attrition will be more manageable and eventually start to come off these types?
Thierry Delaporte: Yeah. So, first of all, on this topic, Diviya, I tend to be cautious, because this -- the decision lies with our employees and with the other employees of the markets. But what I believe what we are seeing is that, definitely the level of attrition was moderate -- will moderate in Q4, which is rather good news. Again, I don’t want to claim victory on it and I think we will continue to stay very focused on it and keep really an eye or two on the situation of our employees and organization and continue to connect as much as we can with them. But when a quarter ago, I was saying, I don’t -- I think, Diviya, if you will ask, I feel that it might actually stabilize, if not slightly improve. So I am little more optimistic that I was a quarter ago on that.
Diviya Nagarajan: Perfect. Thank you and wish you all the best for the year.
Thierry Delaporte: Thank you.
Operator: Thank you. The next question is from the line of Sandip Agarwal from Edelweiss. Please go ahead.
Sandip Agarwal: Yeah. Hi. Good evening, everyone, and thanks for taking my question. I would like to start with wishing everyone a Happy New Year and good health. So, Thierry, I have a very, very simple question. When you see the current environment, when you engage with your clients, where do you see this transformation journey towards digital for the clients have reached? I mean, when we do our channel check, when we speak to global technology consultants and all, what we understand is that, everyone is very excited to, for the transformation journey. They want to link more and more of their revenues to technology -- generate more revenue through technology and platform. But that journey has just started. What is your sense in that? How do you see that? Do you think that the journey has already been 30% behind or 50%, number one? Number two, if the journey has just begun or even if it would have 30%, what is your sense that how long before this matures, it will be three years, four years, five years or do you think that going forward the technology trends will keep continuing? So what is your sense on that front? So I am asking more of a five-year, 10-year strategic thought process on how do you see the technology spend for clients will be?
Thierry Delaporte: Sandip, the thing I have is that our technology service if and is critical to the transformation of every industry at the moment and there are multiple topics that have CEO attention today. The cloud journey is the best example, because I remember even three years or four years ago, Sandip, cloud discussions were happening with the CIO. The CEO would not focus much on it, because it was considered to be an infrastructure discussion and that was a back office -- proceed as back office issue. Today cloud is a way for organizations to be agile, to be -- to drive -- to be able to generate more opportunities, to be inventive, to develop solutions, connect with new clients and it is across organizations. So I don’t think I have seen yet a company that can say that, it has reached 50% of the cloud transformation. I think it’s, obviously, I am not going to be able to give a percentage, but my feel is that we are still in the early stage of the cloud transformation across the industries and so it is a massive wave ahead of us. To a point that today, when I look at the big hyperscalers, we play a big role in cloud. The Microsoft, the Google, AWS, ServiceNow, SAP, they are coming at us, because they need us to help them develop vertical solutions on their platforms or on the cloud and I think it is very clear that the more we do, the more opportunities there are behind. That’s what the cloud and the growth in the cloud will be massive over the next five years at least, okay? Then we have the whole world of data and we know that we are producing million -- billions of data and we are very -- we are leveraging very little the power of this data. Turning them into insight to drive first the decisions, companies have started to work on it, but it’s very complex, because it requires alignment of processes and systems in -- and policies in these companies and there’s still a lot of level of complexity. And so the way we are helping companies to develop, to become data-driven organizations is a huge hot topic for us. And the last one is -- nothing the last one, but just taking a third one because I realize the clock is ticking that is engineering. I mean, the need for organization to invest more in R&D for them to transform their processes and product developments to leverage -- by leveraging technology is immense. So looking forward, I think, we have a market that will be driven by talent and will be very, very hard in the next years.
Sandip Agarwal: Thanks. Thanks for that detail answer and best of luck for the current quarter. Thank you everyone.
Thierry Delaporte: Thank you, Sandip.
Operator: Thank you. The next question is from the line of Sumeet Jain from Goldman Sachs. Please go ahead.
Sumeet Jain: Yeah. Hi. Thanks for taking my question and Happy New Year to everyone. First of all, can you spilt guidance of 2% to 4% into organic and inorganic, given the recent acquisition what you have already closed?
Thierry Delaporte: No. We don’t do that. We usually -- we -- because -- no we don’t do that, because it’s very difficult to do that, because at the end of the day, this business, when they join organization, they are part of the organization and they are driving and we are driving synergies from day one. So we are not reporting, unless those are very large acquisition, we are not reporting separately. But I think, Jatin, you want to add something?
Jatin Dalal: Yeah, Thierry. So we did share the details about the acquisition when we announced them. So I am sure it gives you a good indication. From our perspective, both internally and from the way we manage the success in the market, we stayed with one number and hence the guidance, we will not break down into the two components. But I am sure you can -- you would be able to have some indication on that.
Sumeet Jain: Right. Right. No. That’s helpful. And secondly, I joined the call a bit late, so have you disclosed your ACV and [ph] TCV number for this quarter?
Jatin Dalal: No. Sumeet we haven’t disclosed that -- the number, we did speak about the ACV growth number, which is 27% for the first nine months and we did shared the quantitative details around it, which was about $2.8 billion on an aggregate basis for quarter three and that we did in the press conference.
Sumeet Jain: So basically no disclosure for this quarter as per in terms of TCV or ACV?
Jatin Dalal: Yeah. The number that we -- that I just shared was for quarter three. The growth number that we had shared was for the first year -- first nine months of the year.
Sumeet Jain: Got it. Got it. And lastly, if I look at your EBIT margins, your D&A expense as a percentage of sales had been coming down for the last two quarters pretty sharply. So any reasons why one -- and what kind of D&A expense as a percentage of sales one should expect going forward?
Jatin Dalal: So the way -- Sumeet, you would appreciate is that, when some of the amortization lines are coming to an end of their tenure of over which we take those amortization, then it leads to the reduction, which is step down reduction in the number of amortization. It’s not uniform as you can suggest. That has happened over last two quarters for some of our prior capitalization. My suggestion is that you should look at Q4 as a base, because we have two more acquisitions which are getting integrated from 1st of January. So you would see that number stepping up a bit, because they will come with their intangible schedules over -- as they do the acquisition accounting for that. So Q4 should be a good base for you to build your model for future.
Sumeet Jain: Got it. Got it. Thanks a lot, Jatin and Thierry, and all the best for the future.
Thierry Delaporte: Thank you.
Operator: Thank you. Ladies and gentlemen, that was the last question. I now hand the conference over to Ms. Aparna Iyer for closing comments.
Aparna Iyer: Thank you, Stanford. We understand that it must have been very hectic for many of you as you have had to take simultaneously attend multiple results that have been announced today. So thank you all for joining the call. If you have further questions, do not hesitate to reach out to the Investor Relations team. Stay safe and stay healthy and we will see you next quarter. Thank you.
Jatin Dalal: Thank you very much all.
Thierry Delaporte: Thank you.
Operator: Thank you very much. Ladies and gentlemen, on behalf of Wipro Limited that concludes this conference. We thank you all for joining us and you may now disconnect your lines.